Operator: Welcome to the Textainer Group Holdings Fourth Quarter 2013 Earnings Conference Call. My name is Christine, and I will be your operator for today's call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Executive Vice President and Chief Financial Officer, Hilliard Terry. You may begin.
Hilliard C. Terry: Thank you and welcome to our 2013 fourth quarter earnings conference call. Joining me on this morning's call are Phil Brewer, TGH President and Chief Executive Officer. At the end of our prepared remarks, Robert Pedersen, TEM President and Chief Executive Officer will join us for the Q&A. Before I turn the call over to Phil, I'd like to point out that this conference call contains forward-looking statements in accordance with U.S. securities laws. These statements involve risk and uncertainties are only predictions and may differ materially from actual future events or results. Finally, the company's views, estimates, plans and outlook as described within this call may change subsequent to this discussion. The company is under no obligation to modify or update any or all of the statements that are made. Please see the company's Annual Report on Form 20-F for the year ended December 31, 2012, filed with the Securities and Exchange Commission on March 15, 2013, and any subsequent quarterly filings on Form 6-K for additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements. I would also like to point out during this call, we will discuss non-GAAP financial measures, as such measures are not prepared in accordance with Generally Accepted Accounting Principles, a reconciliation of the non-GAAP financial measure to the most directly comparable GAAP measure will be provided either on this conference call or can be found in today's earnings press release. At this point, I would now like to turn the call over to Phil for his opening comments.
Philip K. Brewer: Thank you, Hilliard. I would like to welcome all of you to Textainer's fourth quarter 2013 earnings conference call. Both the fourth quarter and 2013 as a whole were periods of significant revenue and fleet growth for Textainer.
 : Adjusted EBITDA increased 9% for the year to $430 million. The increase in our fleet size was equally impressive. Textainer invested $950 million in containers for delivery in 2013 comprised of $752 million invested in new and used containers during 2013, following a $198 million invested in new containers in the fourth quarter of 2012 for leased out in 2013. We believe among lessors, we were the largest buyer of dry freight containers in 2013 and among the top investors in dry, specialized and refrigerated containers. Adjusted net income for 2013 was $175 million representing return on average equity of 17.3%. We announced dividend of $0.47 per share, which brings our total 2013 dividend to the $1.85 per share. This continues our tradition of maintaining or increasing our dividend every quarter since going public in 2007. Our focus is to pay a dividend, which is sustainable and which provides to the proper mix between rewarding shareholders and maintaining capital for future investments. Our yearend stands 300 million TEU, an increase of 9.6% compared to the end of 2012. We are the first and only lessor with 3 million TEU fleet. Achieving economies of scale are critical to success in the container leasing industry. We believe our size, operating efficiency and industry lowest cost per container per day provide us a competitive advantage. In January, we acquired 30,000 TEU of standard dry freight containers from our managed fleet for $35 million. The portion of our fleet which we own grew by 4% from the end of 2012 to 77% currently the highest level in our history. A 2.3 million TEU we believe our owned fleet itself is as large as or larger than any of our competitors. We have invested or committed to invest more than $10 million in tank under our joint venture with Trifleet. We have had a sole supplier contract with the U.S. Department of Defense in 2003, covering the program management, leasing transportation and repair of intermodal equipment. The contract was subject to renewal and open for bids last year. Textainer won the bidding and in December entered into a new contract with the U.S. Military. At this point 2014 is difficult to predict. The year started out on a positive note. Prior to Chinese New Year, we saw an increase in utilization and an improvement in lease terms, with higher rental rates and fewer free days for new container lease out. We have also seen an increase of approximately 10% in new container prices. As we had anticipated this increase, we have already invested $165 million in new and used containers in 2014. New container inventories at factories today are estimated to be 575,000 TEU of which approximately 83% are core lessors. While it is clear that the container manufactures are pushing for higher prices, it is too early to tell whether prices will remain at this level. Higher new container prices in to our higher interest rates should result in higher rental rates and higher used container prices, which would improve gains on sale of trading and in-fleet containers. Used container prices today are approximately 25% below their level of one year ago. We did not expect to see an improvement in used container prices until the second quarter at the earliest. We continue to operate in a very competitive industry. The container ship fleet is expected to grow 7% to 8% during 2014. Trade growth of 4% to 5% is predicted higher than the approximately 3% growth witnessed last year. This increase in growth is expected to increase the demand for containers, but will not be sufficient to absorb the increase in container-ship capacity without increased vessel scrapping or layouts. The shipping lines will find it difficult to maintain increases in trade rates. We believe they will also continue to rely on leasing companies to provide at least 50% of the containers they require. Regardless of whether new container prices remain at their new level rise further or fall, we believe spreads on new container lease outs will remain under pressure in 2014 due to the financial pressures faced by our customers and the easy access to liquidity afforded all container lessors. While we will continue to remain selective in the deals that we pursue, we also focused on maintaining or growing our market share. We expect that market conditions in 2014 will be similar to those in 2013. With 84% of our fleet subject to long-term and finance leases and only 4% of our leases are expiring in 2014. We expect utilizations remain at or near its current level. We expect to continue to see attractive purchase leaseback opportunities. Our financing costs have declined, and we believe we have sufficient access to new financing if needed. We are conservatively levered with a 2.3 debt-to-equity ratio. We are the largest fleet and more than 300 million TEU and the lowest operating cost in the industry. We believe we are well position to take advantage of market development during 2014. I will now turn the call over to Hilliard.
Hilliard C. Terry: Thank you, Phil. Turning to the quarterly results, we recorded $137.5 million of total revenue. Revenue grew 8% compared to the year ago quarter. The primary driver of our revenue growth was 15% increase in lease rental income, as a result of 21% increase in the size of our owned fleet, when compared to last year. We also saw large decrease in the sales of trading containers due to a smaller number of containers we were able to source and sell and a decrease in the average sales proceeds per container. As we mentioned in prior calls, we have seen a newer trend where shipping lines execute PLBs for containers near the end of their marine life instead of selling via direct trading deals. We have secured a number of these PLBs and depreciate these containers, while they are on lease, unlike trading containers which are not depreciated. The result is high depreciation expense and fewer containers flowing through the trading container line item. Over time you will see more of the PLB containers flowing through our gains on sale of containers, instead of through sales of trading containers. Gains on sale of in-fleet containers decreased 27% due to a decrease in average sales proceeds, partially offset by an increase in volume of containers sold. Total operating expenses were up 23% year-over-year primarily due to increased depreciation expense, which is the largest of operating expenses. Additionally, direct container expenses increased in storage cost and handling and maintenance expense increased due to lower utilization in the quarter compared to last year. Depreciation expense was $40 million for the quarter up $6.5 million or 19% year-over-year, largely as a result of our larger fleet. However, there are several additional factors affecting our depreciation expense. Number 1, as I mentioned earlier, PLBs have become a primary source of supply for our resale business, meaning we now have depreciating assets compared to trading containers which do not depreciate. Number 2, the older in-fleet units we sell are often fully depreciated. While they are replaced by higher cost new units with higher deprecation. We’ve seen the percentage of fully depreciated containers in our fleet decline due to changes in our residual policy. Number 3, when compared to dry containers, a higher percentage of refrigerated containers price is depreciated annually. We first comprised 11% of the owned fleet on a CEU basis in 2013. Compared to 9% in 2012 and only 6% in 2011. As the percentage of reefers in our fleet increases depreciation expense as a percent of original equipment cost also increases. Lastly, our container prices have increased compared to the average OEC per CEU in our owned fleet has increased resulting in increased depreciation expense per unit. If you look at our overall annualized depreciation expense as a percent of average gross container asset value. It is 4.2% this quarter. Over the past few years our annualize depreciation has ranged between 3.5% and 4.5% of gross value, container value. Given the above mention factors, we expect depreciation expense to trend toward the higher end of this range. Bad debt expense was $1.3 million or about 1% of revenue. We continue to be very vigilant in our credit and collections processes and in fact we saw five day improvement in our DSO versus last year. We continued to believe the normalized run rate for bad debt expense should be around a 0.5% to 1% of revenue. Our interest expense for the quarter was $23 million versus $20 million in the year-ago quarter. While our debt balance increased by 18% from Q4 of last year. Interest expense was only up a 12%% due to our ability to lower the company’s funding cost. Our average effective interest rate which includes swaps is currently 3.74% or down 69 basis points when compared to the year ago quarter. Under our interest rate hedging policy, we matched the fixed-rate term of our debt, including the duration of our hedging contracts with the minimum remaining lease terms. The average of weighted remaining term of our debt including hedge is slightly under five years. Income taxes for the quarter were little a less than $1 million compared to a benefit in the year-ago quarter. Our effective tax rate varies from quarter-to-quarter due to discrete one-time items. As a result, the effective tax rate recognized in a single quarter is not necessarily indicative of the effective tax rate for the full year. Our overall effective tax rate for the full year was 3.5% and similar to our historical rate. Adjusted EBITDA was $109 million in Q4. A clear indication of our continued strong cash generation. Adjusted net income which excludes unrealized games on interest rate swaps for the quarter was $43 million. Resulting in adjusted EPS of $0.76 per quarter. The prior year financial quarters – financial results included a one-time $9.4 million non-cash bargain purchase gain from Textainer’s acquisition of the majority of TAP Funding. Excluding this unusual item adjusted net income decreased 11% from the prior year quarter. Turning to the balance sheet, as of the end of the year our cash position was $120 million, our total assets were $3.9 billion, and our leverage was 2.3 to 1. Thank you for you attention. And now I would like to turn the call or open for questions. Operator can you inform the participants of the procedures for the Q&A.
Operator: (Operator Instructions) And our first question is from Donald McLee of Wells Fargo. Please go ahead.
Donald D. McLee – Wells Fargo Securities LLC: Hey guys, this is Donald McLee on for Michael.
Philip K. Brewer: Hi Donald. How are you?
Donald D. McLee – Wells Fargo Securities LLC: Doing pretty well. First question is around your Q4 CapEx, it was slightly higher than the two couple of quarters and we’ve heard some commentary that indicates that deals remain under pressure. How does that competition affect your approach in the current market or are you more focused on new container deals or used containers?
Philip K. Brewer: Well I would say I didn’t get quite the last part of your question. Could you repeat it please?
Donald D. McLee – Wells Fargo Securities LLC: Sure. It’s just how that competition affect your approach in the current market and now you are going to be focused more on new containers or used containers?
Philip K. Brewer: The market conditions over the entire 2013 were pretty similar, which was very, very tight pressure on yields on every opportunity we looked at. We did see a slight increase in rental rates coming into 2014. Our CapEx last year was down from the previous year, I think we’ve explained. But our CapEx in 2014 year-to-date as we mentioned $165 million of which $35 million was for a purchase of a managed fleet. Well right now we are looking at very strong start to our CapEx for 2014.
Donald D. McLee – Wells Fargo Securities LLC: Got you and then just kind of another question around the ABS. Have you seen any tightening in that market or are the spread still pretty wide or have you seen any widening in that market or are the spreads still pretty tight?
Philip K. Brewer: As you probably know it really depends on sort of what’s going on with the five-year swap, which has been a little volatile yet lately. But I think net-net I think the pricing is about the same as it was probably towards the end of last quarter. Although there has been volatility within the quarter.
Donald D. McLee – Wells Fargo Securities LLC: All right. Thanks guys that’s all my questions.
Robert D. Pedersen: Thank you.
Operator: Thank you. Our next question is from Justin Yagerman of Deutsche Bank. Please go ahead.
Taylor Mulherin – Deutsche Bank Securities, Inc.: Hi everyone. This is Taylor Mulherin on for Justin. How are you?
Robert D. Pedersen: Good morning Taylor. We are fine. Thank you.
Taylor Mulherin – Deutsche Bank Securities, Inc.: Great. I wanted to jump into guidance that you gave for 2014 and just try to clarify a few points. You mentioned that performance is expected to be roughly flat. Is that to mean that earnings or EPS or net income however you want to judge that is expected to be flat or are you talking to utilization or just sort of more general performance? Thanks.
Philip K. Brewer: Really we are talking about market conditions.
Taylor Mulherin – Deutsche Bank Securities, Inc.: Okay.
Philip K. Brewer: Right now we see that utilizations likely to remain round where we except utilization to remain very similar to where it is right now. Rental rates may go up and down, that will of course depend on container prices. We’ve seen rental rate step-up slightly as we’ve seen container prices go up, but yields on transactions are likely to remain very similar to the way they were in 2013. Yields were under tremendous pressure last year and I think that’s going to remain the case this year. And certainly though if rental rates step-up that does increase our ability to lease out depot containers. I think right now that used container prices are likely to stay around where they are currently at least through the first quarter and perhaps partly into the second quarter. Ultimately that will depend on what happens to new container prices. We do see positively the trade growth is projected to increase in 2014 over 2013. That’s certainly a positive and we do expect that shipping lines will continue to rely on us to provide – rely on our industry to provide more than half of the containers that they need. We also expect that total container production in 2014 is likely to be slightly higher than it was in 2013.
Taylor Mulherin – Deutsche Bank Securities, Inc.: Great that’s helpful. And on the container pricing environment. I want to ask about sort of the dichotomy between the 10% increase in new container prices over the last few months and then you mentioned how used prices are at the lowest levels for the last three years. And so I know overtime, as you just mentioned they are going to be correlated, but what’s been driving that over the last short-term three months type of thing?
Philip K. Brewer: What’s driving used container prices?
Taylor Mulherin – Deutsche Bank Securities, Inc.: What’s driving the difference – why are new container prices up 10% while there is a lingering weakness in the used container prices in…
Philip K. Brewer: At this time of year is always a very slow time of year for used container prices right after yearend. Is it there is demand going into the Christmas season, but after Christmas we always see slowdown in demand for used containers. So even if new container prices step up slightly, you’re unlikely to see that having an effect on used container prices right now. That’s why I think that we won’t see anything happen on used container prices in the second quarter as manufactures are closed. So, new container prices are unlikely to show any real change for the next several weeks. We made rather much clear picture of used container prices once the manufactures reopen early March. At that point, I think we have a better view into what happens to used container prices.
Robert D Pedersen: This is Robert here. Let me just add. I think that some of those residue value, the disposal prices are more correlated to utilization then they are some new building prices actually. There is some delay factor towards the new building price. Clearly we have an influencing factor, but I think you should compare that mode of utilization levels in new building prices.
Taylor Mulherin – Deutsche Bank Securities, Inc.: That’s fair great and then one last question. I just want a clarification on the gains on container sales for the quarter. How did the units sold and I think you gave these numbers, but I might not have written them down in time. The units sold in the quarter versus the pricing how did that compare to I guess for sequentially Q3.
Hilliard C. Terry: I think again the trend continued because what we had said was basically the pricing was a down, but the volume partially offset. So, it’s sort of a similar trend to Q3.
Taylor Mulherin – Deutsche Bank Securities, Inc.: Okay great. Thanks for your time.
Philip K. Brewer: Thank you.
Operator:
 :
Tulu Yunus – Nomura Securities International, Inc.: Yes. Hi gentlemen. Thanks for taking my question. Just wanted to dimensionalize how higher new box prices are affecting, higher new boxes prices as well as sort of the continued pressure on yields from sort of the new entrance for the easy access to capital. How is that really affecting the returns on new business. However, you want to sort of quantify that, whether it's cash on cash or some other just a returns on the new leasing business right now.
Philip K. Brewer: I was trying to explain earlier, but perhaps if I didn’t do a good job, I apologize. Container prices go up and down. Rental rates will go up and down similarly to container prices. But the yield, of the return that we actually received on that asset, on that investment, on that asset, has remain pretty stable over the recent past. And we expect yields to remain very similar to where they were towards the end of last year going into 2013. Even though the absolute per diem rate on the container may increase as container prices rise.
Tulu Yunus – Nomura Securities International, Inc.: I see. Okay well thanks. That’s helpful. And then I guess just looking into next year, I mean a lot of moving pieces obviously in terms of what will impact your P&L, but so the utilization that will stay flattish from current level, but on the year-over-year basis that will likely be some pressure. D&A sounds like it’s going to remain elevated, maybe pickup a little bit on the year-over-year basis. There seems to be some CapEx momentum that’s building. But I guess when you put it all together, is it fair to see some earnings growth in 2014?
Hilliard C. Terry: Again, we think while the market will be – the environment will somewhere, we could see some potential growth.
Tulu Yunus – Nomura Securities International, Inc.: Okay, all right. Thank you very much.
Philip K. Brewer: Thank you.
Operator: Thank you. Our next question is from Ken Hoexter of Bank of America. Please go ahead.
Ken Scott Hoexter – Bank of America Merrill Lynch: Good morning. Hilliard, just revisiting the manufacturing, that you said liners are slowing a bit in growth, the manufacturers are making more. Can you give a little insight onto inventory levels right now at the producers and compare that to historical levels.
Robert D. Pedersen: Yes, this is Robert here. We believe new production inventory in the factory is about 575,000 TEU, which is actually pretty low in relative terms. At the same time last year inventories were than a million TEU. And we correlate 575,000 TEU to something that equals about three months consumption in a normal environment. So, that’s not bad at all for this time of year when people are normally stocking up for what would normally be start of the peak in the end of the second quarter.
Ken Scott Hoexter – Bank of America Merrill Lynch: Wonderful and looking at your $140 million, I think you said that you spent already year-to-date. How do you see that accelerating I guess versus the economy and demand before and after, I guess underlying demand around the Chinese New Year?
Robert D. Pedersen: Well, I would say, right now we are sitting on less uncommitted new production than we did a year ago. And so we have a bunch of recently placed orders. A lot of our inventories not even been built yet. So, we certainly see constant replenishment as we continue to close deals. And it is correct, the market had a very nice peak upto Chinese New Year, which was early this year, started in the 30th of January. Clearly the market will slowdown in February and March, but we expect the market to come back alive and probably towards the end of April again.
Ken Scott Hoexter – Bank of America Merrill Lynch: Wonderful. And just a clarification I guess on the last answer. Phil you were saying in the returns, despite the prices of the boxes going up, your returns aren’t changing in terms of – but then you kind of countered that by saying yields were coming down, I guess maybe, can I just get a clarification on what you meant by the, if the yields are coming down, but the costs are going up, wouldn’t your yields need to go up to keep the returns the same level?
Philip K. Brewer: I thought I said yields were stable, but if I didn’t say that, that’s what I meant to say. What I meant to say is that and I believe I said that the rental rates may go up or may go down. The actual dollar rental rate $0.50 a day, $0.52, $0.54 whatever that is may change depending on the container price. But the actual return on our investment in that assets remains pretty stable over time. So, increases in rental rates don’t mean necessarily the yield we earn increases, the yield is likely to remain stable is because the underlying asset cost increase or interest rates increase.
Ken Scott Hoexter – Bank of America Merrill Lynch: All right that’s a great clarification. I appreciate that. Yes, I think as long as I’m moving in the same direction that, I get that one. And then lastly, Hilliard, on the direct costs, obviously, some big jump. You mentioned there was increased handling cost and changes in utilization I guess. I'm a little confused on it because you said utilization is similar to where we have been, but what just driving that part?
Hilliard C. Terry: No, Ken, I mean if you look year-over-year our utilization is down 2.8% or 2.9%. So, if you just look at that, that really drives increased handling costs and storage costs and things of that sort, that’s the driver on that one.
Ken Scott Hoexter – Bank of America Merrill Lynch: And you were saying go forward; it shouldn’t change much just given the fact that you don’t have many contracts coming up to do?
Hilliard C. Terry: Correct, we think utilization will kind of be stable in the range where it is off for now. I mean as a percentage of our fleet, the percentage of contract coming up for renewal in 2014 is smallest in percentage basis that we have seen in a quite a while. And its directly related to the fact that five years ago, you know most of our leases are five-year leases with 2009 which was one of our lowest levels of investment ever. Furthermore and I think this is particularly important. The leases we entered into in 2009, where actually generally had pretty low per diem rate. All those leases that are coming up for renewal this year, the rates on those leases are not that far off current market pricing is. So, we don’t see a lot of exposure in terms of those leases that are coming up for renewal in 2014.
Ken Scott Hoexter – Bank of America Merrill Lynch: Appreciate the insight. Thanks for your time.
Philip K. Brewer: Thank you.
Operator: Thank you. Our next question is from John Mims of FBR Capital Markets. Please go ahead.
John R. Mims – FBR Capital Markets & Co.: Hey good morning guys. Thanks for taking my call.
Philip K. Brewer: Thank you John. Good morning.
John R. Mims – FBR Capital Markets & Co.: Good morning. Hilliard, let me start with you on the dividend. So, a couple of quarters in a row, where you have been above 60% in terms of the payout ratio and I know that’s the long-term commitment to the dividend and confidence in the model and all of the statement are great. But how long, if 2014 looks a lot like 2013, how long can you be comfortable with that high payout ratio level?
Hilliard C. Terry: Well, John, we are pretty committed to our dividend and we think we are really comfortable with the level that it is, if market conditions remain as they are. Now I will say that the board does take a fresh look every quarter sort of the balancing the opportunities for the company with returning capital to shareholders. But again, we believe in a consistent dividend, and we're very comfortable with the level that it is if market conditions remains as they are, now I will say that the board does take a fresh look every quarter at sort of the balancing the opportunities for the company with returning capital to our shareholders, but again we believe it in our consistent dividend and we are very comfortable with the level at which – I recognize that it is above sort of our stated payout, but you have to take a longer term look when it comes to the dividend, longer term view, I’m sorry.
John Mims – FBR Capital Markets: No, yes absolutely. So but just for the sake of argument if EPS was flat and you didn’t raise the dividend, but lets say it still came in at this kind of high 50% to 60% payout for the year, for what you know right now the board would be comfortable with still paying the same that was $0.47 a quarter?
Philip K. Brewer: Again John, I don’t want to speak for the board, but I think you know they have shown sort of consistency and commitment to the dividend. I think if I were to look at sort of how we forecast things, we were very comfortable with the current dividend level.
John Mims – FBR Capital Markets: Okay, that’s fair. Robert on the manufacturing side, can you compare or provide any sort of parameters around container input costs this year versus last year. And I know the manufacturers are pushing hard for margin, but how much are they making up on a COGS basis versus what they need to get from a new box price level?
Robert D. Pedersen: 
0:31:46.1: So they decided hey we got to go out. They all came out of a certain level and have been pretty consistent on that level and I think we all buy in this market, shipping lines are out there, those that had budget for right now in the early part of the year. Leasing company had been out buying since as Phil says, since we are just pricing based on what we pay for containers, it doesn’t hurt us actually, in some ways it’s actually good for us as much as it makes our depot inventory more attractive to lease out at a higher price level.
John Mims – FBR Capital Markets: Okay.
Robert D. Pedersen: So, I would say that at this price level there is a nice contribution margin for the manufacturers and – but there was none in the fourth quarter last year.
John Mims – FBR Capital Markets: Right. So, looking at first quarter of last year, is there – or material costs or the input costs generally up, down, flat now versus where they were year ago?
Philip K. Brewer:
0:33:35.0:
John Mims – FBR Capital Markets: Okay.
Hilliard C. Terry: And then I could just add, I think that perhaps underlying your question is the fact that steel has gone down recently. And so isn’t it steel prices is going down and container price is going up, but as Robert pointed out there is a lot of other factors that go in to the container including and industry where the few players who are trying very hard to push the price up so.
John Mims – FBR Capital Markets: Yes, now that’s truly helpful and just two quick ones and then I’ll turn it back either for Robert or Phil, but the CapEx to-date the $130, $140 million, what percentage of that is used versus new or and of the used containers you are buying now – are you putting those out, is that five-year duration still applicable to those or the new – the used containers that you are putting into service today are those on shorter lease times. Thanks.
Robert D. Pedersen: I think we have mentioned that we have invested $165 million in 2014 year-to-date, of that $35 million was for a purchase of container smart fleet, the rest was for new containers.
John Mims – FBR Capital Markets: Right okay, okay. sorry I was unclear there. So, of the $130 excluding the managed, the $130 is all new.
Philip K. Brewer: Yes.
John Mims – FBR Capital Markets: Okay. And are those for March or April delivery?
Robert D. Pedersen: Yes.
John Mims – FBR Capital Markets: Okay.
Robert D. Pedersen: Some containers have been – I think about 20% of the containers have been produced and the rest are coming out in March, April.
John Mims – FBR Capital Markets: Okay. All right thanks for the clarifications. Thanks for the time.
Philip K. Brewer: Thank you.
Operator: Thank you. Our next question is from Sal Vitale of Stern Agee. Please go ahead.
Sal Vitale – Sterne, Agee & Leach, Inc.: Hi, Good morning gentlemen.
Philip K. Brewer: Good morning Sal.
Hilliard C. Terry: Good morning.
Sal Vitale – Sterne, Agee & Leach, Inc.: So, just a quick question. Phil, you mentioned that you – Phil you mentioned that you believe that container production in 2014 will be higher than last year. What do you estimate last year was $2.5 million is that about right?
Philip K. Brewer: I think that’s about right, yes.
Sal Vitale – Sterne, Agee & Leach, Inc.: Okay.
Philip K. Brewer: But I think it was about $2.3 of dry and probably $200,000 of reefers.
Robert D. Pedersen: Sorry, $2.4 million last year dry containers, $220,000 TEU of reefers is what we estimate.
Sal Vitale – Sterne, Agee & Leach, Inc.: So, it’s $2.6 to altogether?
Robert D. Pedersen: Yes.
Sal Vitale – Sterne, Agee & Leach, Inc.: Yes, okay. So when you expect 2014 will be – and so I guess that you expect 2014 will be slightly higher, because it seems like given that the factories are shutdown for a couple of months a year and that, they are intent on raising prices and you probably don’t get $3 million TEUs or is that what you believe?
Robert D. Pedersen: No, I think that’s probably a stretch. If we have $2.4 last year we’re probably talking about $2.5 maybe slightly higher than that. But it is a marginal increase on the dry. They can easily make up for the six-week they close. I mean let’s face it last year most manufacturers were producing about 50% of theoretical capacity.
Sal Vitale – Sterne, Agee & Leach, Inc.: Right, okay. So, there is plenty of – they can easily ramp that up if they needed to.
Robert D. Pedersen: Absolutely. If the orders are there, they will kick the containers out.
Sal Vitale – Sterne, Agee & Leach, Inc.: Okay. And so when you mentioned the 10% increase in the box price, so that’s 10% off of roughly $2000 right. So, it’s about $2200 right now you would say?
Philip K. Brewer: I mean the average is a little higher than that.
Sal Vitale – Sterne, Agee & Leach, Inc.: Okay. That’s useful. And I guess if I look at big picture, if I look at this year, if I look at the current situation and contrast it with the year ago situation. I remember last year you and lot of your peers were very positive about the year ahead and there was a significant amount of ordering activity. Would you say that even though you have done some CapEx thus far and your competitor that reported yesterday has also done some CapEx. Would you say that there is more caution this year relative to last year?
Philip K. Brewer: Yes, I think that’s fair to say. I think for two reasons. Last year – sorry In 2012 in the fourth quarter basically all leasing companies went out and bought big numbers. I mean we certainly – we thought very big numbers during that period, I think in the range of $200 million or so, and continued buying in to first quarter. Chinese New Year was later last year, so we could still get more deliveries before the downturn, which always happens there for Chinese New Year. So since there was activity in the fourth quarter and we see more lines probably going toward leasing rather than buying as part of their own fleet renewal plan and they start that process pretty early. I think more deals have been completed in the early part of the year than we saw last year to a very large extent we had thought for inventory. So with what we are seeing right now, I think everybody has been pretty prudent out there and we have seen some shipping lines go out and purchase, but basically fewer shipping lines that we saw last year, but the ones that are buying are repeat buyers from last year.
Sal Vitale – Sterne, Agee & Leach, Inc.: Okay, so you are seeing, I guess in general you are seeing fewer interests by shipping lines in direct purchases relative to last year.
Philip K. Brewer: Yes, I’m sure when the stats come out for first quarter, we’ll see the same as we did last year, the shipping on percentage will be higher, a lot of shipping lines get their budgets, they approve, they buy and that’s the only time they buy in a year, while the leasing industry buy – we buy all year. So I think you are just going to see exactly the same as last year but probably to a smaller extent shipping lines will buy marginally more in Q1 and then leasing companies will come back and probably end up buying 50%, 55% of the containers over the year.
Sal Vitale – Sterne, Agee & Leach, Inc.: Okay. And then just the last question was and I think Terry you mentioned that you – I guess it would be reasonable to expect that utilization would – for the rest year would be about at current levels. Just given the fact that peak season really hasn’t begun yet and it seems like Asia to Europe trade flows have improved. Just seasonally, I guess seasonally and also the fact that the economies are improving, the global economies improving, shouldn’t we see a significant uptick in utilization, I guess into 2Q and into 3Q?
Hilliard C. Terry: Robert mentioned earlier that we do expect to see a demand later this year starting probably late April. Obviously we would like to hope the utilization picks up at that time. It will depend quite a bit on the level of production and whether inventories build up with the factories prior to the pickup in demand later this year.
Sal Vitale – Sterne, Agee & Leach, Inc.: Okay that’s fine. And then just a last question. On the CapEx you have done thus far, I assume that just trying to get a sense for the level at which you purchase the containers relative to what you actually lease them out at. I assume that some of what you bought was at that I guess closer to $2000 price and now maybe you can lease them out at a lease rate commensurate with say $2200 or $2300 price?
Hilliard C. Terry: That is certainly what we are attempting.
Sal Vitale – Sterne, Agee & Leach, Inc.: Okay.
Hilliard C. Terry: As I said we knew from the end of November that there was going to be a shutdown. So, we basically started adjusting our pricing already then. So, clearly our spreads are considerably better on the batches we bought last year and the beginning of this year.
Sal Vitale – Sterne, Agee & Leach, Inc.: That’s helpful. Thank you very much.
Philip K. Brewer: Thanks Sal.
Operator: Thank you. Our next question is from Doug Mewhirter from SunTrust. Please go ahead.
Doug R. Mewhirter – SunTrust Robinson Humphrey, Inc.: Hi, good morning. I just had two quick questions. The first is regarding a pickup patterns. I heard some commentary last night that some of the customers are actually elected to pick up their boxes a little more promptly than expected and that was – doesn't necessarily mean it's telegraphing anything for the rest of the year. But it implies that there maybe some of the lines were cut short by unexpected strength in shipping demand. I didn’t know if you would see – if that has followed through to your book or not in January.
Hilliard C. Terry: No.
Robert D. Pedersen: Yes Doug, We've seen exactly the same. There's no doubt that the period between production and on higher or for that fake movement from a booking to lease out had been much shorter than it was last year. I think last year some of the terms that the leasing industry were agreeable to with the shipping lines of operating extended buildup periods. Probably hurt everybody a little bit, and I think right now and we are in a little bit better position, prices are a little bit higher, inventories are a little bit lower. I think we all going to try to tighten up a little bit and offering too long buildup periods for these transactions. And it so happened that I agree I think some of the lines. Probably more so the DT operators were surprised by the dramatic uptick in January. Everybody is used to seeing an uptick for before lunar New Year, but it was pretty extreme this one here and we saw small, mid-size operators and the global carriers that all got cut short at that particular timing, quite frankly on the containers right away. So, clearly, that net terms that has stimulate our utilization in a more positive manner in January than we had expected yet, as we always see utilization does tend to drop after Chinese new year for four to six weeks.
Doug R. Mewhirter – SunTrust Robinson Humphrey, Inc.: Thanks a lot for that. Very detailed answer. The second question is, maybe a little more general. Could you compare I guess – I would see the yield measure to keep everything apples-to-apples I guess dry versus non-dry yields. So reefers, specials, tanks any difference in attractiveness in those broad terms?
Robert D. Pedersen: Well, I think we can’t speak for the market, but we are seeking higher returns for reefers and dry specialized and we offer first standard dry containers. So, clearly there is a difference. I will walk away – our alignment of sand is certainly higher on refers and dry specialized and they are on dry standards.
Doug R. Mewhirter – SunTrust Robinson Humphrey, Inc.: Okay thanks. That’s all my questions.
Philip K. Brewer: Thank you.
Operator: Thank you. Our last question is from Michael Webber of Wells Fargo. Please go ahead.
Michael: Hey good morning guys. How are you?
Webber – Wells Fargo Securities LLC: Hey good morning guys. How are you?
Philip K. Brewer: Fine, thanks Michel. How are you?
Michael: I’m good, I’m good. Sorry I'm actually getting on a plane getting ready to fly over Roberts homeland. But I wanted to go offline and ask a couple questions around some picture issues. You guys in the street and in the sector in general have been talking of slowing incremental for quite a while now. It's really been in place the majority of last probably 12 to 14 months and the idea of narrow yields and narrow spreads certainly they have been kind of beaten to both on this call. But maybe Robert or Phil, and you guys have been around this market for a long time and when you look at those metrics stand today and take a step back and you look at the last 20 year or 30 years. How close to a bottom do you see current yields and spreads just relative to for the last couple of cycles and certainly, where would you handicap the risk in terms of incremental downside from current levels or we had a trough risk and most of the risks would remain to the upside in terms of improvement in pricing, an improvement in return?
Webber – Wells Fargo Securities LLC: I’m good, I’m good. Sorry I'm actually getting on a plane getting ready to fly over Roberts homeland. But I wanted to go offline and ask a couple questions around some picture issues. You guys in the street and in the sector in general have been talking of slowing incremental for quite a while now. It's really been in place the majority of last probably 12 to 14 months and the idea of narrow yields and narrow spreads certainly they have been kind of beaten to both on this call. But maybe Robert or Phil, and you guys have been around this market for a long time and when you look at those metrics stand today and take a step back and you look at the last 20 year or 30 years. How close to a bottom do you see current yields and spreads just relative to for the last couple of cycles and certainly, where would you handicap the risk in terms of incremental downside from current levels or we had a trough risk and most of the risks would remain to the upside in terms of improvement in pricing, an improvement in return?
Philip K. Brewer: I mean Mike that’s a great question. But it’s tough, it’s difficult to answer, but I kind of then compare to little a bit to the container manufactures, who is actually they took. I think when we look at the last half of last year, we certainly don't see spreads going lower than that.. Our intention and desire is to try to see if we can improve our margin that we think its fully justified to the service we provide, we buy container to speculation. We sit on them for while. We get some delayed pick up. We should be able to get better terms when we lease out. And that doesn’t just go for dry container that goes for basically be all the equipment size we operate.
Philip K. Brewer: Michael I would even add something to that too first I would like say that’s really appreciate your desire or listen to our earnings call that you are calling in from a plane somewhere over Europe it sounds like, but thank you very much for your commitment. Having noted that I would also say that I think something is lost here in the discussions, is our industry has gone through a period of tightened spread, reappraisals of the returns that we are getting and yet, I know one of our competitors reported yesterday, we are reporting today and we are still seeing ROEs that are in the very high teens. I think that’s extremely impressive in an industry that’s gone through a period of let say revaluation of their assets and re-pricing of their assets. So sometimes I think we loose site of how attractive in fact this industry really is.
Michael: Fair enough. Thanks a lot. Robert actually one for you and then I have one more bigger picture question for Phil. But Robert I know business or the P3 alliance running in some issues. In terms of the capacity need for [indiscernible] in terms of demand products. Do you see that have any – having any material impact on demand for new boxes, if you are not if – those three major lines are not able to kind share capacity and rationalize capacity along those long-haul Asia to Europe, is there going to be source of incremental demand for box or are we looking a bit too hard to find that?
Webber – Wells Fargo Securities LLC: Fair enough. Thanks a lot. Robert actually one for you and then I have one more bigger picture question for Phil. But Robert I know business or the P3 alliance running in some issues. In terms of the capacity need for [indiscernible] in terms of demand products. Do you see that have any – having any material impact on demand for new boxes, if you are not if – those three major lines are not able to kind share capacity and rationalize capacity along those long-haul Asia to Europe, is there going to be source of incremental demand for box or are we looking a bit too hard to find that?
Robert D. Pedersen: Mike we discussed that a lot internally and I think certainly my view is that the vessel capacity and isolation does not increase or reduce the demand for containers, it’s the cargo volume. And a lot of these vessels right now are operating at 80%, 90% slot utilization, the lines are doing the right things they got a thick capacity out. However, at the same time of taking capacity out, they are adding 16,000, 18,000, 19,000 TEU vessels. So clearly when we look at 2014, the net capacity even after demolition’s is going to increase. And what we see is that if trade volume increases as we have read from 3% to 3.5% to 4% or 5% that will have an impact on box demand much more than whether all these containers are being shipped in alliance, does that have 18,000 TEU vessel or whatever. So we don’t see that as an impact at this stage here, it’s purely the trade volume that would have an impact on our demand.
Michael: Got you, now that makes sense. I mean is there more – so on an – we talked about incremental and they have seen it was somewhat mixed, in our sales and however big anonymous side line. You think something last quarter but its pretty salient and that was around new growth. When you start to see that new growth its not necessarily going to be a number – the increase – the of number of deals was not necessarily going to move higher, but it’s going to be size of the deal that start to increase in terms of what you guys have come across thus far in 2013 or even late 2014, but you notice an uptick in the size of deals even on the margin and forgive me if you have already mentioned this, but just curious as to whether you are starting to see that kind of incremental change.
Webber – Wells Fargo Securities LLC: Got you, now that makes sense. I mean is there more – so on an – we talked about incremental and they have seen it was somewhat mixed, in our sales and however big anonymous side line. You think something last quarter but its pretty salient and that was around new growth. When you start to see that new growth its not necessarily going to be a number – the increase – the of number of deals was not necessarily going to move higher, but it’s going to be size of the deal that start to increase in terms of what you guys have come across thus far in 2013 or even late 2014, but you notice an uptick in the size of deals even on the margin and forgive me if you have already mentioned this, but just curious as to whether you are starting to see that kind of incremental change.
Robert D. Pedersen: I mean this Robert again. Yes we did see an uptick in yields in the December and in January and but I don’t it was so much the result of fundamentals. It was more a result of the fact that we were aware that price – the container prices were going to increase...
Michael: The size of the deals and you know whether the size of the deal has gotten bigger….
Webber – Wells Fargo Securities LLC: The size of the deals and you know whether the size of the deal has gotten bigger….
Robert D. Pedersen: Sorry.
Michael: In Q4 or Q1.
Webber – Wells Fargo Securities LLC: In Q4 or Q1.
Robert D. Pedersen: No the deal sizes are still relatively small. I would say that even the bigger ones are some would be called mid-size deals. And we haven’t seen many of the marker deals at this stage yet. The bigger deals that have been out there have actually been – a few shipping mines going out tendering for new production themselves, which was expected. And the leasing right now, I think a lot of the lines are kind looking at what is going to happen after Chinese New Year and how quickly is the market going to kind of pick up after this, and how strong is that peak season going to be. Clearly if they believe in 4% to 5% total growth in 2014. Then there will be a significant transactions originating out there, because there has been ongoing scrappage and if you have more than a million TEU of scrappage those containers need to be replaced. So there is certainly sufficient demand for new production ahead of us, I’m particularly pretty certain about that.
Michael: Okay great. All right well I’m pretty [indiscernible]. Thanks you guys very much for the time. I appreciate it.
Webber – Wells Fargo Securities LLC: Okay great. All right well I’m pretty [indiscernible]. Thanks you guys very much for the time. I appreciate it.
Robert D. Pedersen: Thank you Michael.
Philip K. Brewer: Thank you.
Operator: Thank you. We have no further questions. I will now turn the call back over to Executive Vice President and Chief Financial Officer Hilliard Terry.
Hilliard C Terry: Well thank you everyone for joining us for Q4 Earnings Call we wish you the best and we will speak with you soon.